Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:07 Good morning. Welcome to USA Compression Partners, LP’s Fourth Quarter 2021 Earnings Conference Call. During today's call, all parties will be in a listen-only mode and following the call, the conference will be opened for questions. [Operator Instructions] This conference is being recorded today, February 15, 2022. 00:28 I would now like to turn the call over to Chris Porter, Vice President, General Counsel and Secretary.
Chris Porter: 00:36 Good morning, everyone and thank you for joining us. This morning, we released our financial results for the quarter ended December 31, 2021. You can find our earnings release as well as recording of this call in the Investor Relations section of our website at usacompression.com. The recording will be available through February 25, 2022. 00:54 During this call, our management will discuss certain non-GAAP measures. You will find definitions and reconciliations of these non-GAAP measures to the most comparable GAAP measures in the earnings release. As a reminder, our conference call will include forward-looking statements. These statements include projections and expectations of our performance and represent our current beliefs. Actual results may differ materially. 01:18 Please review the statements of risk included in this morning’s release and in our SEC filings. Please note that information provided on this call speaks only to management’s views as of today, February 15, and may no longer be accurate at the time of a replay. 01:31 I’ll now turn the call over to Eric Long, President and CEO of USA Compression.
Eric Long: 01:37 Thank you, Chris. Good morning, everyone and thanks for joining our call. Also with me is Matt Liuzzi, our CFO. Today, well, I plan to cover our positive financial and operational results for the fourth quarter of 2021. I also want to give you our unitholders, a sense of where we see the pod (ph) going, so to speak, for the balance of 2022 and into the future. 02:02 We are living in an unusual times in which both real and false information are quickly disseminated by news and social media outlets that often appear to have biased agendas. We are first-hand in Europe that some feel good beliefs have led to governmental and regulatory policies that appear to be in conflict with the pragmatic and economic realities of the real world in which we live. 02:27 First, I want to say thank you to the dedicated men and women of USA Compression, who during the past two years of the COVID-pandemic have continued to do what it is, they do best, meeting the needs of our upstream and midstream customers, 24 hours a day, seven days a week, 365 days a year, which have helped to keep oil and gas producing in our country, and whose efforts have helped to keep the lights-on in America and to keep Grandma's house warm when much of our country was lockdown. 02:57 To give you a sense of the magnitude of what it takes to keep USA Compression up and running, our service teams drove almost 1.3 million miles and worked over 122,000 hours in January 2022 alone and our folks embrace a culture of safety, with our service technicians now having worked almost 4 million hours without a lost time injury. Safety is a way of life USA Compression and I am proud of how our team continues to embrace it. 03:19 So, let's turn to the fourth quarter of 2021 and wrap up the year in which USA Compression remained true to our core business strategy of providing exemplary levels of natural gas compression services to our long-term and strategic infrastructure oriented customers. Our fourth quarter results came in consistent with the previous quarter and reflects the adherence stability in our business and this significant amount of base load natural gas demand that underpins our active fleet to horsepower. 03:57 Full year, we achieved results that were at the higher end of our guidance range. We once again maintained our distribution at $0.525 per unit and we have now returned over $1.3 billion dollars to our unit unitholders since our IPO in 2013. During Q4, we also entered into a new five-year ABL agreement with our bank group, which would have gone current in early 2022 that resulted in additional flexibility, had lower interest margin spread, while maintaining our total capacity of $1.6 billion. As of the end of 2021, we had about $516 million dollars drawn. 04:29 So now, we'll commentary here 2021 and leading into 2022. We saw two very different customer profiles in 2021. Our large public players continued to show financial and operational restraint, while our smaller private independent developers who tended to take a more aggressive approach to their capital spending programs. While we were hopeful that 2021 would bring some additional clarity to policy making as it regards to the energy industry. What we got instead was continued mix messaging by our government, which kept our larger public customers generally hunker down with reduced levels of growth CapEx throughout the year. With the continuing uncertainty out of Washington DC, it appeared that restrained capital spending became the mantra, even in the face of very attractive commodity prices. 05:18 Last quarter, I spoke demonization of oil and gas and the capital starvation in the energy industry has seen over recent years due to many factors, not the least of which has been shareholder pressure and the Spector of more stringent environmental regulation. I mentioned how that under investment combined with strong demand has resulted in declining inventories and DUCs that drilled in an uncompleted wells, all of which are further exacerbating the supply-demand imbalance. 05:48 During the fourth quarter, these trends only continued. We have seen preliminary estimates to show inventory draws in the fourth quarter several times larger than both in 2020 and when compared to historical averages. And according to DIA, the number of DUCs wells was down 13% in the fourth quarter, and we ended 2021 down 40% from the end of 2020. 06:20 The regulatory uncertainty relating to the domestic oil and gas administry overall, including implications regarding potential methane regulation and taxation has not abated. However, with mid-term elections on the horizon, the likelihood of action seems to have veined. That pause combined with a precarious supply demand balance and the expectation for continued attractive commodity prices in the near term, we believe off to help our customers take investment actions, which they might otherwise have been wary of last year. 06:46 Let me make a few comments about where commodity prices currently stand. Crude oil prices in the fourth quarter were up over 80% from the year ago period and for the full year 2021, prices were up almost 75% over 2020. But it isn't just a comparison to a week year in 2020, you'd have to go all the way back to 2014 to see crude oil prices at levels above what they are today. 07:10 The biggest difference between now and 2014 though is that the 2014 run up in prices was in many ways fully driven. Today, we are looking at a combination of real world factors which taken together are causing a supply demand and balance across the globe and resulting in very attractive oil prices. The same holds true on the natural gas side of things as well. Prices in the fourth quarter were up almost 100% over the year ago period, and the same for the full year 2021 versus 2020. 07:44 You would have to go back to the 2008 and 2009 time period to find prices like what we saw during the fourth quarter. 07:58 For natural gas, the commodity strength is also being driven by real world situations, including cold weather, lack of natural gas supply and parts of Europe, and also the general under investment in bringing on new sources of supply. Recall (ph) and energy was the best performing sector in the S&P 500 last year, driven in large part by the overall strength and commodity prices. 08:15 So all interesting to consider where we've been, I think the more appealing aspect of what the situation potentially means for where we are headed. Their current price situation reflects the realities of shrinking supplies and increasing demand for both crude oil and natural gas. The inherent intention to balance the massive cost to move to renewable forms of energy over different time frames, and a harsh reality that energy supplies are a critical and powerful tool that can be used to hold government's hostage. 08:47 One of the concerns that we as an industry have faced is the substantial under investment needed to add supply over the last few years, driven primarily by the COVID panic, regulatory uncertainty, shareholder pressures and other factors. The oil and gas industry is a longer lead time industry and requires a sufficient amount of capital investment. Projects takes time to be developed and commercialize and we continue to witness this reality and the struggles that certain OPEC+ members have had and trying to meet their production quotas. Producers just can't turn on the spigot whenever they want. 09:33 So, we are now seeing very resilient demand running headlong into a tight supply situation that is ill equipped to react quickly. This won’t change dramatically in the short-term and the continued geopolitical instability in Russia, the Ukraine and Europe only exacerbated the issue. In fact, the EIA just revised upwards their demand forecast for 2022 to 100.6 million barrels a day, an increase of 3.5 million barrels a day over 2021, which was up 5.2 million barrels a day over 2020. 10:07 This is at a time when U.S. crude oil inventories are 13% below last year, and 9% below the five year average. Further, the global oil market is estimated to be undersupplied by 1.5 million to 2 million barrels per day for 2022. And in geopolitical stability, both Russia and China and we have the potential for a global energy squeeze, the likes which we have not seen since the embargo days of the mid-19970s. 10:29 So, how does this affect USA Compression? The good news is that domestic natural gas is abundant and we have the ability to export large volumes of LNG around the world. The importance of natural gas for heating and electricity generation is front and center in the conflict between Russia and Europe right now, which revolves around natural gas. 10:48 At the end of 2021, the U.S. became the largest exporter of natural gas, surpassing Qatar and Australia. We believe the free market will continue to function to move natural gas where it is valued most highly, whether that is domestically or internationally. And as that gas comes out of places like the Marcellus Shale and the Permian Basin, producers and transporters will require compression to move it along. 11:13 Another prominent theme during 2021 that continues into 2022 was a continued discussion around ESG and the energy transition. Both are important and we expect both the factor into the dialogue across the energy spectrum for the years to come. However, I think 2021 also demonstrated that this transition will take a lot longer than many expect and will likely cost far, far more than many estimate. 11:39 I want to share a few factoids I recently saw in the financial post to help point out the chasm between government policy and our energy reality. First, the EIA recently projected that the U.S. internal combustion car fleet will peak until 2038 and today less than about 3% of the U.S. car fleet is electric. We will need to convert 1.45 billion vehicles, 29,000 aircraft and 54,000 ships to renewable fuel sources. 12:10 Raw materials are forecast to inter-structural deficit. Copper is an example, a 32% deficit. Interestingly, the average person in the world consumes only five barrels of oil per year. In the U.S. where higher living standards translate to higher hydrocarbon demand that number is 21 barrels of oil per year. The UN is forecasting the world's population will add 2 billion people by 2050, with the middle class growing in China and in India, so run the math. How's it fathomable that the global demand for things such as plastics, fertilizer, mine metals for electronics and specialty chemicals, all hydrocarbon intensive will fall. 12:52 As unitholders, you understand our core business and you all likely have your own views on the role of natural gas into the future. We believe the realities of economics and technology will continue to shape the dialogue and the transition. The bottom line remains the same, demand for energy of all types of worldwide is up, supplies of conventional energy sources are down and we know of no technology that economically exists at scale to backstop the intermittent nature of solar and wind supplies. The bottom line is that we believe the need for USA Compression services will continue far into the future. 13:28 So USA Compression begins 2022. We are looking out at a marketplace in dire need of energy in all forms both crude oil as well as natural gas. Both fields are essential to providing cost efficient energy to the entire world. Natural gas remains a clean burning abundant fuel that is easily transported throughout our country as well as the world. And as the broader world continues to grow and develop, crude oil is critical to improving the quality of life for people all over the planet. 13:59 In the near term, we are witnessing a focus on renewable sources of energy that are quite frankly, insufficient to meet the overall needs of the population at a cost that is affordable to society. We expect major drilling and completion activity for both oil and natural gas in the years to come and with it demand for compression services. 14:20 Our work on the dual drive concept will continue in 2022 and beyond. And we expect an uptick in customer inquiries as further electric infrastructure begins to be built out. The dual drive product represents a potential and cost effective offering to allow our customers to switch quickly and reliably from natural gas to electricity as a fuel source, which will allow them to reduce their carbon dioxide and methane emissions meaningfully. We believe dual drive is an attractive transition offering for our customers with the ability to provide the reliability and redundancy of natural gas during what we believe will be a multi decade transition period to expand the electric grid. 15:06 One final note before I turn over the call to Matt to walk through our results of the fourth quarter. With this quarters payment, we've now achieved 36 quarters of distributions, returning over $1.3 billion to unitholder since our IPO back in 2013. The stability of the business and strong cash flow generation has allowed us to power through the most recent downturn, yet be positioned to take advantage of the tailwinds that we believe are coming in 2022. 15:37 The last several years have really demonstrated the power of the large horsepower compression business model and as we begin a more optimistic 2022, we expect to continue the path we've been on. Matt?
Matt Liuzzi: 15:49 Thanks, Eric and good morning, everyone. Today, USA Compression reported fourth quarter results, including quarterly revenue of $160 million, adjusted EBIT of $99 million and DCF to limited partners of $52 million, all of which were consistent with last quarter. Of total revenues of $160 million, approximately $157 million of it reflected our core contract operations revenues, while parts and service revenue contributed roughly $3 million. 16:22 Pricing for the fleet as a whole remained flat in the fourth quarter at $16.62 per horsepower per month. Remember, this is an average across the entire fleet so while we continue to manage contractual price escalators, the churn of assets from active to idle will also have an effect on this metric. 16:41 Our adjusted gross margin as a percentage of revenue was 68% in the fourth quarter, consistent with historical levels. We achieved adjusted EBITDA for the fourth quarter of approximately $99 million flat to the third quarter. Adjusted EBITDA down margin of 62% was again consistent with our historical averages in previous quarters. DCF to limited partners of $52 million was also consistent with the prior quarter. 17:11 Our total fleet horsepower at the end of the quarter of approximately 3.7 million horsepower was flat for the third quarter. Average utilization for the fourth quarter was up about a 0.5 percentage point from the third quarter at 82.9%, indicating gradual redeployment of equipment. 17:31 During the quarter, we kept in line with our capital spending guidance with total expansion capital of $14 million, consisting primarily of reconfiguration of idle units in maintenance capital of $5 million. During the fourth quarter, we put in orders for 10 new large horsepower units for delivery in 2022. These are earmarked for a couple of large compressor stations for existing customers. 17:57 Subsequent to year-end, we also placed orders for 20 additional large horsepower units. These units will go to specific customer installations, and the remainder of our expansion capital will be focused on redeployment of existing idle units. Net income for the quarter was $3 million and operating income was $36 million. Net cash provided by operating activities was $81 million in the quarter. And lastly, cash interest expense net was $30 million. 18:29 Based on the fourth quarter’s results, the board decided to keep the distribution consistent at $0.525 per unit which resulted in a distributable cash flow ratio of 1.02 times consistent with the previous quarter. Our bank coverage leverage ratio was 5.09 times consistent with prior quarters our board of directors determines the quarterly distribution on a quarterly basis and the board can opt to maintain or reduce or suspend the distribution as it deems most appropriate. 19:00 Consistent with past practice, we're introducing full year 2022 guidance. We expect adjusted EBITDA up between $406 million and $426 million in distributable cash flow of between $213 million and $233 million. Last, we expect to file our Form-10K with the SEC as early as this afternoon. 19:24 And with that, we'll open the call the questions.
Operator: 19:28 Thank you, sir. [Operator Instructions] We'll take our first question from Vinay Chitteti with JP Morgan.
Vinay Chitteti: 19:47 Hi. Good morning. And this -- thanks for all the commentary earlier on the call. Maybe I just wanted my first question on how current activity levels are trending versus your expectations early 2021? I just wanted to check, is that activity lagging your expectations or is it outperforming versus and -- in your back -- maybe, digging it in the sense of pricing, utilization I think definitely cost a bit higher? Yeah, I mean, any thoughts Eric or Matt could share directly?
Eric Long: 20:22 This is Eric. I think as I said, a timely and good question. I would say that activity level both incoming quotations, or inbound needs of customers, where we quote units, and then leading to contract activity is consistent what we had anticipated coming into 2022 that level is significantly ahead of what we were seeing in 2021. So I think the combination is, in our prepared remarks, we commented that the public, the large public companies had been somewhat conservative with their CapEx programs in 2020, and on into 2021, pressures from shareholders, pressures from the government, pressures from financing institutions to reduce CapEx to focus on improving balance sheet, focus on returning capital to their shareholders or unit holders. They've done that. 21:25 So now that we're in an environment with pushing $100 oil, pushing $5 natural gas, some of the major players, looking at their budgets for 2022 have significantly expanded their magnitude of CapEx spending 20%, 25% 30% kind of numbers. So that's leading to some additional activity for USA kind of along the lines of what we expected during our budget process. The good news is what we expected is holding up and holding true so far for the first quarter of 2022.
Vinay Chitteti: 22:05 Got it. Thanks. Maybe just following up on capital allocation here. So I think you guys have mentioned distribution will be considered each quarter independently. And now that we consider maybe the worst is behind us. But the stock is currently shielding about 12% to 13%, which means the market is not giving full credit for stable distribution, which USAC has been able to maintain for several years and also this EBITDA stability. Given, we do expect the higher activity and growth CapEx creeping up. It is DCR over the next couple of years, reducing debt looks a bit far-fetched and saying the market is not giving full credit. I want to understand your thoughts on your -- like your thoughts on maintaining distribution versus reducing debt like accelerating debt payment.
Eric Long: 23:08 Vinay, the market has never given us full credit since the time of the IPO. I would note that the type of projects where we're deploying growth CapEx into our highly accretive. Honestly, so more of those projects that we do, the better our coverage ratio becomes in the lower over time, our leverage becomes. These are highly attractive projects with very attractive economics. The capital we're spending on make ready work to deploy idle equipment. Obviously, spending a little bit of money to deploy a piece of equipment you've already spent several millions of dollars on is extremely economically attractive. So, we don't need to issue equity. We don't plan to issue equity. We're in an environment where we can utilize the attractive financing terms under our ABL. And we're now at the size that we can kind of manage our growth CapEx, manage our revenue streams, manage leverage and coverage, and the stock market, so to speak, finally acknowledges and recognizes the stability of our business that we shouldn't have a double digit yield then so be it, if they don't, so be it as well. 24:40 I would point to the fact that our public debt holders, we've got two tranches of public debt that traded a premium. We get inbound calls asking us, hey, guys. When are you going to come up with some additional debt needs? We love you guys. So, I've always considered the debt investors to be extremely financially sophisticated. And they look at it and say, we're willing to have your debt traded a premium to where it was originally issued. I think that's a high vote of confidence and suggested that they get it and maybe it's the public equity owners who quote, don't get it.
Vinay Chitteti: 25:28 Got it. Thanks, Eric. That's all from me.
Eric Long: 25:31 Thanks, Vinay.
Operator: 25:33 All right. Next question will come from the line of TJ Schultz with Royal Bank of Canada.
TJ Schultz: 25:42 Great. Thanks. Eric may be, like what's your biggest growth area right now or basin? And I think as we think about things like increasing LNG exports, you mentioned the poll on places like the Marcellus and the Permian. But I guess my question is really just as we think about things like responsibly sourced gas that may impact where exporters want to pull in LNG cargoes. Are you expecting any major shift from a basin perspective for where you operate? Is there any major shift that may lead to some costs to maybe move some horsepower around?
Eric Long: 26:18 Great question, TJ. And right now, we're seeing clearly the Permian Delaware basin is kind of leading activity, that's where the largest increases in the rig count and the most dramatic reduction in the drilled and uncompleted well, activity's been in the last six months or so. That said, we're seeing a fair amount of activity come from the Haynesville Shale. Interestingly, also, the midcontinent area, has recently seen a fairly material tick up and demand. And that's a lot of that tends to be a little bit smaller horsepower. 26:49 Appalachia, a lot of the gathering systems operated, what I call intermediate pressures, the pressures that are higher than what we see in Texas in the mid-continent, a lot of two stage compression rather than three stages. And we've seen some operators up there installing an extra stage of compression as a booster unit rather than drilling additional wells or completing additional wells, they use compression as a way to pull down the section pressures closer to the wellhead, which gives a corresponding increase in throughput. So rather than drill wells are complete some uncompleted wells, they install compression to maintain enhanced production and maintain a stable throughput. 27:38 We're not up in North Dakota areas. So we really can't address that offshore. We don't have much of a presence. We're not in California, et cetera. So, we're seeing some tick up in the Wyoming Colorado area. We're seeing some tick up in the Eagle for Shales. So I would say on balance, TJ, the mix looks a lot like it has historically. And we are seeing some glimmers or some folks looking at renewably sourced gas both up in the Haynesville and more particularly up in Appalachia as a potentially growing source of new supplies as well.
TJ Schultz: 28:16 Okay. Perfect. Thanks. Just second for me, just a follow up maybe on the balance sheet. If we look back over the last several years, your cash flows really been fairly steady through different cycles now. So just coming out of this latest cycle. And I guess the question is, do you have a different perspective on what debt leverage you are comfortable running the business longer term?
Matt Liuzzi: 28:46 Hey, TJ. It's Matt. No, I don't think our perspective has changed. I think what happened was, we lost two year -- two perfectly good years of ‘20 and ‘21, where we had expected some, cash flow growth and debt repayment. And so now I feel like, Eric mentioned, budgets are increased this year a bit, activity levels are off. And so, I think our perspective would be keep doing what we've been doing, back just like back in ’14, ’15, ‘16, we've powered through kind of the weak part of the cycle. 29:22 And here we go again, and as that cash flow increases, I think you're going to see us continue to kind of chip away at the debt balance. So I don't think the perspective has changed. I think the truth is, it should be lower than where we are right now for the, at least from a public optic standpoint. I think we've proven that the business can absolutely handle it, but I think the markets, probably would appreciate, a little bit lower leverage and obviously as the EBITDA and cash flows grow, that's what we'll be kind of targeting.
TJ Schultz: 29:57 Perfect. Thank you.
Eric Long: 30:00 Thanks, TJ.
Operator: 30:12 All right. It looks like we have no further questions at this time. So I'd like to turn it back over to Mr. Eric Long for any additional -- I'm sorry, we did have one more question queue up, if you'd like to take that from Selman Akyol with Stifel.
Eric Long: 30:26 Absolutely. Thank you, Akyol.
Selman Akyol: 30:20 Thank you. Good morning, guys. Appreciate squeezing me in. Can you maybe just talk a little bit about sort of what price assumptions you have embedded in your guidance in terms of pricing you're going to be able to pull through? And then also talk a little bit maybe about the inflationary pressures you're seeing out there?
Matt Liuzzi: 30:40 Sure, Selman. Yeah. In terms of pricing that we use in our kind of forecasting, but we typically are very conservative, and we'll look at kind of where pricing state -- where pricing is sitting right now. And so, I think that would be consistent with how we approach the guidance amount. So certainly nothing too crazy. No big assumptions on kind of hockey you stick price increases. I would tell you we are on the large horsepower stuff, in particular, we are seeing strong pricing, but really large stuff to utilization is way up. And so, I think as that happens. As we get through the year, I mean, again, we're early, but as we get through the year, we'll be able to -- I think as utilization moves, we'll be able to kind of, at that point evaluate this pricing need to move, but certainly in the guidance, we've taken a pretty conservative event. 31:50 On the inflationary stuff, it's interesting. We looked just as a titbit last year over the course of 2021 at our labor costs in particular, because there's been a lot of headline noise there about costs and whatnot. And our average labor on a dollar per hour basis went up over the course of the year, went up anywhere from 2% to 4%. And so, that's kind of in line with what we had seen historically in line with what we expect this continuing year. And again, we're not -- the vast majority of our employees are guys on the field, they're skilled, skilled folks who we're not talking minimum wage stuff. And so we expect that to -- we'll see some increase I think again, in field wages et cetera in line with kind of what we've seen in the past, but not expecting huge, huge moves. 32:39 And then the other things, parts lube oil, those kinds of things, parts and both of them, we've actually done a pretty good job. We've locked in some pricing before the end of the year. And so we have awarded some kind of early 2022 price increases that went out. And so we've tried to manage that as best we can. And then of course, the other way we work through that is through the CPI price escalators. And making sure that we're passing on the increased cost to customers. So it's a combination of sort of managing it actively in terms of locking in some prices, but also having the flexibility in our contracts to go through and push through those price increases.
Selman Akyol: 33:36 Understood. Let me ask you just one more then, as we think about sort of the supply chain out there and you guys referenced that you've ordered some large horsepower. Can you maybe just talk about any tightness you're seeing out there and if people -- customers came in and said, we want additional compression, it's not ordered by April or May, then you're done for the year because you just can't get it or are you seeing any constraints from that standpoint?
Eric Long: 34:06 Yes. So, this is Eric, and that's absolutely a true observation. On the larger horsepower right now, here to pick up the phone, call a fabricator, you call Caterpillar. They're somewhere between 46 to 52 weeks of lean time to source the large component inventory. So that's almost a year. You're talking 10 to 12 months out. So part of why we're excited about 2022 is, we have a fairly sizable tranche title, but high quality horsepower that could be quickly and economically redeployed. So, yes, we made commitments as we mentioned in the 10 units of last year and another 20 units this year. So we've got roughly 30 big horsepower machines coming in our way. 35:03 We've got a large tranche of stuff that's in the 1,500, 1,800 horsepower range, 600 to 1,000 horsepower range, even some of the smaller gas lift well equipment, readily available, quickly available as idle and we think will give us a very large competitive advantage versus somebody who says, I got nothing and it's going to take me a year to buy some new equipment. You've got the same kind of bottlenecks with electric motor driven equipment. So, we've got a lot of people run around going and electrify everything, electrify everything, well, when electric motors come from Korea and they're sitting on boats offshore of LA and unable to get into the stage to be appropriated and repatriated in the supply chain. You got bottlenecks and problems. So, those of us who have some available equipment I think are situated pretty well from 2022 being able to meet and deliver upon our customers’ needs.
Selman Akyol: 36:04 Great. Appreciate the additional insight. Thank you.
Eric Long: 36:07 Thank you.
Operator: 36:11 Now it looks like we have no further questions. So I’d like to turn it back over to you, Mr. Long for any additional remarks.
Eric Long: 36:16 Thank you very much. The fourth quarter of 2021 reflected another quarter of stable cash flow generation by our core compression services business. For 2022, we see quote and contract activity continuing to accelerate. As we remain optimistic, we have begun to cycle idle equipment for our make ready facilities to be redeployed to act of status at nominal CapEx cost. Natural gas prices remain at near term record highs and the outlook for production is positive, both of which we expect to drive the demand for compression and for our business. 36:51 One thing has not changed. The fundamental driver of our business is the demand for and the production of natural gas. We see natural gas usage increasing the U.S. and throughout the world. We believe that the underlying stability of our large horsepower infrastructure focus contract compression services business model and served our unitholders well over the past few years and for the nearly 25 years, we have been in business. We have a great asset base from which to be involved in the longer term transition to cleaner energy in which natural gas will clearly play an important part. Thanks for joining us, and please be safe. We look forward to speaking with everyone on our next call.
Operator: 37:33 That does conclude today's conference. We thank you everyone again for their participation.